Adrian Mulcahy: [Abrupt Start] FY 2023. I'm really pleased to have both Simon Morriss, the CEO; and Tony Di Pietro. Some of you may not have met before, who is the CFO for Genetic Technologies. So, just to explain how this is going to work. Simon's got most slides he'll work through, probably take about 15 to 20-odd minutes and as we get to the end, we'll move into Q&A session. [Operator Instructions] And we probably will be done in about 30 to 40-odd minutes. So, without any further ado, let me pass over to you, Simon to get us underway.
Simon Morriss: Thanks, Adrian, and thank you to everybody who's registered and joining the webinar for us this morning. Just to talk about our progress that we're making and the quarter pre-results in particular for the company, and we're really proud of some of the achievements and the progress that we are making as a team. And as Adrian mentioned at the start there, we will have some time at the end for some questions and some answers, and I think they are simply just type into the chat Q&A section at the bottom there, and Tony and I will be happy to answer. Typically, Carl Stubbings, our Chief Commercial Officer, will also join us for this session, but he's actually in Montreal and Canada at one of our conferences and having some physician dinners this week, so he won't be joining us this week, but he's having a successful trip over there at the moment. Let me kick off with the slides and really pleased to click through these with you today, and hopefully, you enjoy the update. I just wanted to start, for those that are new to the call, and I'm seeing some sort of fresh names coming up on the attendee list on the webinar here, I just wanted to take a moment to just explain the world-leading portfolio that Genetic Technologies has. We are leading the way with our patented integrated gene type multi-risk test. We looked at risk assessment for serious disease well before onset combining SIPs and clinical risk scores, the polygenic test there, and we'll talk a little bit more about that in a moment and non-invasive prenatal tests that we offer, Viro's easyDNA brands, carrier screening, pharmacogenomics, oncogenetic testing, and animal health and pet care and genealogy there. The revenues for our business are anchored in three key brands, a gene type brand for serious disease, our easyDNA brands and our AffinityDNA brands, which are our direct-to-consumer models. The channels on this multi-brand strategy to market are really quite simple. We have a medical payout B2B model, which looks at our oncology and our gene type brand really focusing on our payers, our insurers, our concierge medicine, our primary care physicians, our GPs, the large independent doctor networks, OB-GYNs, a really, really dedicated business-to-business model. We also have our consumer-initiated tests where a consumer can go on live, buy a test of the gene type brand, and then their results will be given back to them via their medical practitioner or our telehealth support person, depending on whether you're in the United States or in Australia. Our direct-to-consumer channel in 40 different countries around the world with our easyDNA brand and our Affinity brands looking at ancestry, paternity health well-being, pharmacogenomics, animal health, drug testing, and even DNA storage for later in life for those who want to actually store information for medical purposes down the track. But there are three very distinct pathways to market that we focus heavily on as an organization. A brief overview of the global operations. We have about 57 employees in the company at the moment. We operate and have presence in over 40 countries around the world. Importantly, we have about 25 patents granted or pending, which really underpin the science of the technology of the GeneType brand, the integrated risk, the polygenic risk and clinical risk, which is a patented product in many jurisdictions around the world. We operate in about 14 different test categories. We have about 51 different tests, and we have partnerships with more than 12 laboratories around the world that actually help us bring this testing to different parts of the world all around, depending on what we do with the animal testing or whether it’d be testing in Australia. One of the really important assets that we have as an organization is we have a NATA accredited CLIA certified high complexity lab in our operations here in Victoria in Melbourne in Australia, which does many of the GeneType tests for US and here in Australia. I won't go through all of these, but this presentation is available on the ASX website for you to download and have a look at, at any state, it's available to you all. But really, just some of the achievements that the team have made over the last 12 months and the progress that we are making as an organization, and they're not immaterial at all. We now have nine tests commercially available in the US that Phase 1 and Phase 2 of all of the tests are now available in the United States, six in oncology, two in cardiovascular, one in metabolic disease. And that's a really exciting milestone for us. We have more than 100 medieval practices now onboarded in the United States. And that's another really exciting piece for us. We've focused on our EasyDNA business, our AffinityDNA business, our direct-to-consumer platforms there. Our reimbursement, our coverage and our payment is still a really high focus for us in the material revenues spark as we go forward. And as we move towards that pathway to profitability for us as an organization, and we want to really start to map that out over the coming quarter and share that with people. Partnerships with a number of key physicians, key opinion leaders, key users of our test is growing every single week. And we now have a number of really good repeat uses of a number of the tests of the GeneType products, especially OBGYN clinics in the United States and Australia. Clinical validity, clinical utility and our IP strategy is all really, really important. We've had more than five peer reviewed publications, published and manuscript in the last six months, supporting the signs behind the GeneType product. We've had the ovarian cancer, two for breast cancer, one for coronary artery disease, which included Type 2 diabetes and stroke. We had one from prostate. And only this week, we had one for melanoma. So that's six publications, all peer reviewed, all demonstrating the validity and the performance of our test and they're all out there for open source, and they’re all linked on our website that anyone can have a look at. And the laboratory capability, NATA accredited CLIA certified high complexity lab. So, really some amazing milestones for the team, the team are very, very proud to share with you all today. Quarter three consolidated into one slide here. I just wanted to share with you. Our quarter three, we delivered $4.22 million in cash receipts, $2.3 million of those or 13% up on last year were from customers. We had an R&D tax incentive of about $1.96 million for the quarter, and therefore, our year-to-date cash receipts from customers is just under $6.7 million, up 45% on the prior year. That’s seventh consecutive quarters of growth on the corresponding prior year period and a really good milestone for the team to achieve. As I mentioned there, we've got about $10.5 million cash at bank. The margin for the quarter was at 1.13 or 49 percentage points in gross margin terms, that was plus 2- points on the February number and plus 2 points on the January number. So it's a really strong focus for the team to really push forward on making sure that we manage costs, we manage our cost of goods. We try and manage the price point out there, and we're trying a real focus on that gross margin for the organization. Focus going forward for us as an organization is clear. Core 4 focus -- number one to us is executing the B2B commercialization strategy of the gene type multi-risk test. This is where we're going to deliver the most material revenues for the organization over the next 6, 12 and 18 months for the business. And I'll talk a little bit more about some of those initiatives soon. Demonstration of the clinical utility and the validity of the gene type tests, I mentioned just a moment ago, six publications in the last six months, three specifically in this last quarter up until the end of March, and two in the April of this year as well. And those links, as I said, are on the website, and those links to the latest three are actually in this presentation. EasyDNA and Affinity, driving revenue with new tests, new growth, new markets is a really key focus. So you see there before, customer receipts in the quarter, underlying growth over the prior year was up 13 percentage points. So it's a really important thing for us to focus on in driving growth in the baseline business as well. And innovation for us, the next generation of capability and we're starting that with epigenetics. One of the major announcements that we shared in February this year was the development of a new comprehensive breast and ovarian cancer. This is a world's first. There is no single test out there that looks at the monogenic disease, polygenic and clinical risk model which looks at everyone who is at risk of breast cancer. As many of you would know, BRCA only accounts for about 5% of diagnosed cancers. The other 10% is from familial and 85% where the traditional gene type brand focuses on is from polygenic, sporadic or random disease. So we've got a test now that's under development at the moment and is being prepared for launch, which will focus on all of those three elements and it will be the most comprehensive hereditary breast and ovarian cancer test on the market. And that's why the team at the moment are at the conference in Montreal, which is at BRCA 2023, showcasing what we can do with testing in one single test. That's where Carl is, that's where Dr. Erika Spaeth is, and they're presenting that at the moment over the course of these days with physician doctors and meetings at the moment. And this is new, this was launched in March. Phase 2 of our launch for the multi-test is now live in the US, 9 diseases now available commercially in the United States. And the ones in the blue there, you can see melanoma, pancreatic cancer, and atrial fibrillation are the latest three that have been added to the suite of tests available for people in the United States. We've just concluded a very successful NATA order here in Australia. We had a full pass with no findings, so it's an absolutely astounding result for our team here. We've submitted all of the final validations of all of the new tests for NATA and they're going to review them and they're reviewing them at the moment. So we're awaiting their imminent feedback for us to launch those here in the Australian market. So everything has been done ready for them to be commercially available in Australia as well, just waiting for that stamp of approval from our regulator here in Australia. But very exciting that all nine diseases are now available in the US and very, very close in Australia. I mentioned about clinical utility. This is a really key foundation for physicians to actually recommend our product in their clinics. These are the last three that were published in the quarter, of quarter three. We had one for breast cancer and the cancer prevention research. The European Journal of Cancer Prevention did one on ovarian cancer and Breast Cancer Research and Treatment did another one on breast cancer, nurses health study, UK Biobank [ph], and these are population-wide now. These are now tests that are available, not just for women who are 35 or Caucasians. This is for Hispanics, Latinos, African American, Asian populations. These are population-wide tests now and a real breadth of application for a -- the addressable market now is just enormous gross. You can see in the bottom left corner of this particular slide links to those publications if you're inclined and you would like to have a read of those. We also mentioned in the quarter that we have a strategic alliance with QIAGEN. QIAGEN up there in the top three laboratory suppliers around the world are really behind say Thermo Fisher and Illumina are really keen developing a center of excellence for us in the facility here in Australia. We already have our first piece of equipment extraction equipment that was delivered during the quarter. It's being validated at the moment, and it will be in production and in us very, very soon. We have the next generation of products coming through as we speak. So that partnership is just starting to grow to put into the commercial level. We've got some really exciting plans for the usage of the QIAGEN products in our laboratory here in Melbourne to bring new tests to the market. Just want to take a moment to talk about the priority pathways for the GeneType brand for us, and that's the business-to-business the payer model and the insurers and the application, the implementation of the work that we've done over the last nine months with the health and the economic modeling done by a company in the United States in Boston, Alberta. I'll talk a little bit about the outcomes of the budget impact model, but we have now 11 active conversations with payers and employers in the United States, which cover nearly 42 million lives. The budget impact model or the health in the economic benefits out of this budget impact are compelling for us to get some of the largest payers to the table to have a conversation about us and also putting this into their clinical utility. So we're really excited about this. It's a long journey ahead. It's a really slow journey ahead, but the benefits to us and the material revenue that this will generate for us as an organization, once we get one or two or three of these on board is absolutely game changing for us. And a fantastic inflection point for the business. So we'll start with some commercial pilots. We'll start with some their contract, and we'll start to work right after that, and we'll continue to push hard into this. Independent doctor networks, functional medicine clinics, concierge medicine, OBGYN clinics are the next layer of business-to-business clinicians that we are focusing heavy on also around the Australian market and the United States as well to other pathways to market for us to be successful with the GeneType brand. I talked a little bit about the health economic model, I mean, in the simplest terms, we have overlaid the GeneType for breast cancer test with the current standard of care in the United States. We have actually screened in the model of more patients. We have identified those patients that are at high risk into four different categories. We have applied more supplemental screens for all of those high-risk patients. So we're adding costs by screening more patients, we're adding costs by actually providing more surveillance screening for those patients, and we're having an impact by saving the payer system, nearly $1.4 billion annually by identifying more interval cancers and more early-stage cancers, creating a better survival rate for patients and a lower cost to treat for the insurers. So that's a really compelling story substantiated by a very, very complex and model that's been built independently for us to share with these payers and getting us a seat at the table with some of the biggest payers in the United States. That's what's driving the conversation and giving us the excitement about driving the next-generation material revenues for us as an organization for GeneType. I don't want to skip over this, but our EasyDNA business driving some fundamental baseline growth. We've done a brand refresh. We've redone the website. We're just ready for launch and that we're about a month later than what we wanted to be with this one here, and we've had some server challenges with that. But that was a hundred pages of amazing valuable information that sits behind that, and we want to make sure that, that user experience is absolutely outstanding before we push button and go live on that, but we're very, very close on that. That will then lead to improved lead generation with our Google ads, Facebook ads, content marketing for us. And then we'll be able to open up new challenge for us as an organization. So this is a really exciting growth opportunity for us, still and delivering fundamental baseline growth, as I mentioned earlier, quarter-on-quarter last year, growth of cash receipts from customers up just on 13%. Can you just a look at a couple of placeholder slides of those new tests for the EasyDNA brand. And I just wanted to make sure that I share that with you. It's looking much nicer, much more modern, much more contemporary brand for everybody. With that, I'll stop there. I can see that the Q&A button has actually got a few questions in there. And Adrian will actually help us moderate those and do a bit of a Q&A. Tony is also online, our CFO, Company Secretary, who is also there for us to be able to answer any other questions that you may have. What I'll do is I'll stop sharing the screen now, so I can hand back to you, Adrian, and you can ask us some questions.
A - Adrian Mulcahy: Thanks, Simon. Thanks for that update. Just to remind those on the call, as we've described, adding your questions to the Q&A section at the bottom of your screen. So we've got a bunch of questions. So hopefully, we can get through most of them. And the first one, I'm not surprised, and we've seen a few of these actually come through. So I'll see if I can group a few of these together, but it's with respect to the payer groups. So what is the time line with respect to first agreements with the payer groups and has there been any further progress on the conversations with these groups since the last investor call?
Simon Morriss: Yeah, it’s a great question. Yes, there has been, let me answer the timeline first. We think that over the next zero to three months that we will probably be embarking on commercial pilots with one or two payers, which will have some endpoints there, and there'll be some of the smaller payers where we can implement those that can move faster where their Chief Medical Officers are reviewing all of the science. Two of the publications that were released in the last quarter for breast cancer, one was with the UK Biobank and one with the Nurses' Health Study, both involve hundreds of thousands of patients were key utility publications that these payers wanted to see published before now taking the next step. Now those conversations can advance and advance with a lot of confidence, with a lot of independent peer reviewed manuscript data to support that decision making. So they were really in parallel. That's why clinical utility was the second most important priority for us as an organization. As for new conversations, yeah, from time-to-time, a couple of the conversations will drop off because it's not for them and others where we've got new conversations coming on board, so absolutely, the development and the launch of the HBOC comprehensive test that we talked about in this presentation was actually borne out of conversations with two of the payer groups that say, if we could do this, this would be amazing. So that's why -- that inspired the development of that particular test, which previously and doesn't exist at the moment and being shared at BRCA 2023 conference. So, yeah, some exciting times ahead and active conversations every single week.
Adrian Mulcahy: Thanks, Simon. Just a bit of an extension to that, can you just simply recap on the economics for the payer?
Simon Morriss: Yes, certainly. In its simplest form, implementing GeneType for breast cancer tests into the clinical intervention identifies the risk of that population for an employer or for an insurer. You can then screen more patients. You can then identify more patients at high risk. You can provide them with more surveillance annually, whether it be MRI, Mammogram or Ultrasound and then therefore, from there -- from that perspective, we can actually detect their cancer earlier and have a lower cost to treat and a better survival rate.
Adrian Mulcahy: Thanks, Simon. Very broad question, that's next one. It looks like another strong quarter for the group. Do you expect this trajectory to continue into calendar year 2023?
Simon Morriss: Yeah. I think absolutely. So quarter four, looking strong, although, April was a April was a challenging month with all of the public holidays that were on there, for example, that was a challenging month for us. But what was really exciting from a volumes perspective, we were nearly 80% up on a number of tests that were done in the laboratory for the GeneType test. Now they're smaller numbers in our EasyDNA business, but that was a really exciting milestone. And March, sorry April was up on March, which was up on February and we've got some aggressive plans for ourselves again for May and June, and we want that trajectory to continue to go. So that's a real excitement for the entire team.
Adrian Mulcahy: Thanks Simon. Next question of the, primary physicians that you have access to in Australia how productive as this channel been to-date?
Simon Morriss: Yeah. It's really interesting. Qualifying the physicians in Australia is really interested. There's about 20-plus thousand physicians. We've identified about 5% of those about thousands who are in the Early Adopters to new technology and we've got about 150 meetings face-to-face with these physicians over the course of the next three months and onboarding clinics every single week new clinics. We've just implemented the medical team. I know we would have mentioned in the past, we had a collaboration with MedLab. We've actually bought some of those team members on board permanently as part of our own team. So we have people generating leads. We have people who are actually going face-to-face to doctors, and now we have a clinical and technical support team. And that 1000 or pool of 1,000 GPs roughly is actually starting to get some real momentum here in Australia. And now the team is doing a great job converting those into new clinics and then repeat clinics, so actually, we're getting probably half of our tests coming through and now repeat tests from a number of clinics in Australia and half of them are new onboarding clinics there. So it's a really good mix.
Adrian Mulcahy: Thanks Simon. Next question is a pretty broad one, but can you outline the importance of the clinical utility and the IP strategy generally?
Simon Morriss: Yeah. I think I'll go back to the comments that I made just a little bit earlier. Clinical utility and how a physician can really implement this in their practice is really important. But even more so is really important with regards to the payer model. And I mentioned those two publications between The UK Biobank for breast cancer and The Nurses' Health Study for breast cancer that we released in the last quarter. Those again demonstrate utility. They demonstrate validity. They demonstrate that our test outperforms the current standard-of-care. They demonstrate that we can actually identify more at-risk patients than the current guideline standard-of-care, and that's led to us making our formal submission last month to the NCCN guidelines in the United States to be considered to be put into the guidelines alongside this because those two publications, that utility demonstrates that we can actually perform better than the current approved standard-of-care that's already approved further. The utility and validity are really key for us around the size of what we've developed.
Adrian Mulcahy: Thanks, Simon. Next one, with respect to Qiagen. So with that strategic alliance, what progress you've made on the establishment of the Center of Excellence facility.
Simon Morriss: Yes. So there's some good progress being made. I think I mentioned just during the presentation, we've already onboarded the first piece of sort of state-of-the-art extraction equipment into the laboratory. It's been validated as we speak. The team are being trained on its usage at the moment. It actually gives us a greater yield for all of our samples with regards to coming in and great quality of extraction of the samples in our laboratory. That's the first piece. The second piece is a piece of equipment that will probably be onboarded next quarter. We're trying to do a piece by piece by piece of another state-of-the-art piece of better forensics equipment that we're looking at, at the moment. But yes, that's taking some really nice shape in bringing some of those initiatives to life in our organization.
Adrian Mulcahy: Thanks, Simon. Next one goes back to a recent release with respect to the world's first comprehensive risk assessment. So, with the planned launch of the world's first comprehensive risk assessment test for breast and ovarian cancer. Can you share what this means?
Simon Morriss: I think what it really means is that everybody knows about BRCA, BRCA1, BRCA2 really made probably famous by number of celebrities in the United States, especially Angelina Jolie. But what's really important, it really accounts or maybe one in 400, yes, that are diagnosed. It's really one in eight are going to get cancer in their life. So really, the other 399 people need to know whether they are at high-risk or not for breast or ovarian cancer. This particular comprehensive test looks at the BRCA, if they're BRCA negative and they don't have a family history, we will reflect that straightaway into one single test with the geneType test as well. So it's absolutely game changing for the market and it's one single collection device. It's a saliva test. It's a questionnaire and the patient gets the results for both of those elements are in a comprehensive suite. So to us, it's -- from a physician's point of view, it's really simple to implement in their clinic. And that was also one of the outtakes of one of the clinical papers was how easy this is to administer and implement in their practice. So the comprehensive HBOC test for us is one thing that's a real high focus. And hopefully, the time line for us to launch that is over the coming quarter. So the protect behind the scenes is being finalized at the moment. Interlab validations are being done at the moment, and the launch is over the next three months or so. But again, we will keep the market informed of that. So it's not a definitive launch date as we speak at the moment. 
Adrian Mulcahy: Thanks, Simon. A couple of questions here with respect to some longer-term shareholders and patience is always a challenge when you're an investor. So the one that probably asked this question more definitively is, you suggest in the release that cash flow breakeven as a target in the coming years. Are you able to be more definitive on the timing?
Simon Morriss: Yes. I mean that's a great question, and it's absolutely a very fair question from any shareholder. And we have a lot of very patient shareholders and we thank them for sticking the journey with us. So we are really aiming in the next 12 to 18 months to be cash flow positive, the pathway to profitability. It's an ambition it really is determined by how many of the payers we can get on board, the size of the pays we can get on board and the timing in which they come on board. And we believe that, that will determine when we can become profitable or cash flow positive as an organization. And what we're aiming to do over the next quarter is put some of those critical milestones in place to share openly and really hold ourselves to account on deliverables of those milestones to make sure that everyone can see what we're aiming to achieve. The first pilot commercial pilot with a payer will be a wonderful road map for us in order for what to do next, and then we'll be able to be far more definitive about what it looks like into the future with those endpoints there. So I hope that answers the question for industrial analysis
Adrian Mulcahy: That's great. Thanks, Simon. This one might be one for you, Tony. So let's hear it from you. So -- and it's on the same kind of thing -- items. So can you talk about your plans with respect to capital management.
Tony Di Pietro: Yes, sure. I mean, it's obviously a focus of the Board and management to carefully manage our cash and during the quarter, we had a couple of inflows, which helped us get to quite a decent balance of cash at the end of the quarter with the capital raising funds coming through from our US investors but also we had the receipt of the R&D tax incentive. So we've got a challenge as for all companies, and that's the balance that opportunity that gene type provides us for obtaining greater revenues and therefore, becoming self-sufficient, if you like. So it's a balance we're carefully managing but also taking our opportunities.
Adrian Mulcahy: Thanks, Tony. Another question for you, Simon. So what is the time line to market for the new HBOC test?
Simon Morriss: I think -- I mentioned just a moment ago, we're aiming to probably bring that to market over the course of the next sort of three months. That's probably our time frame at the moment there. So yes, it's -- we're just finalizing to have validations in the United States and the market entry piece there with the payers and with the community up there. But at this stage, we're sort of roughly looking 3-ish months there.
Adrian Mulcahy: Thanks, Simon. Next question. Have any conversations been initiated with any influence -- and we -- will you be looking to integrate any affiliate marketing programs or influencers as seeing being done by the [indiscernible] conference
Simon Morriss: Yes. The answer is, yes. There is a large charity organization in the United States called EIF and so no prizes for guessing what the EIF means when it comes to EIF. This is actually ended up by a number of Hollywood producers. And they do a lot of pro bono work, a lot of clinical work as well with regards to access to testing and medicine for people who are under privilege also in the United States and they have a lot of influencers out there, who they have access to. So we're looking at that at the moment with them and what a collaboration could look like with the charity and with the influencers in the United States is really, really key. We've got a new marketing team joining the team, a US-based marketing team, which is helping us with this as well. And one thing that I hadn't mentioned is on the 22 of May, we're going live with National TV in the United States on Lifetime Channel. It's been recorded. It's been finalized, and we will share that on our YouTube channel, probably on the 23 of May, once it's gone live in the US on the 22nd of May, and then we can start to share that. But it's a five-minute commercial or five minute infomercial on the Lifetime Channel in the United States, there will be a number of different times there. And it's got two key physicians, Dr. Carolyn Young and Dr. Joe Levins, both talking about the importance of the implementation of GeneType for early detection of cancer.
Adrian Mulcahy: Thanks, Simon. Last, a couple of questions, but they're all -- I can group them as to one with respect to hitting milestones. And that kind of goes back to the early comments from the shareholders earlier, but looking ahead, where do you see the opportunities for the group? And what are the milestones investors should look at it?
Simon Morriss: Yes. I think there's a couple of really important inflection points there for us as an organization. One is the payer pilots and insurers in the United States. That's a really important one for us. Two is the launch of the hereditary breast and ovarian cancer tests in the United States. Three is try to then take that technology and can we take that and move that into a more comprehensive sort of the multitest -- can we make that technology suit all of our diseases, that's number three. Four would be the growth of our EasyDNA business is still a really high priority for us, especially across the US and Canada. Those markets are really starting to take off and in the channels of things like Amazon, they're taking off really nice spot. So they would be our top four and really three of them are focusing heavily on the commercialization of GeneType and forming the continued growth of new channels and new tests of the EasyDNA market.
Adrian Mulcahy: Thanks, Simon. Well that’s all from the group. So back to you for final remarks with respect to the growth.
Simon Morriss: Well, thank you. Thanks, Adrian, thanks, Tony, for joining us as well. Thank you to everybody who's jump on the line this morning, you can see a really great list of attendees that have joined. This is an amazing time to be part of this company. We are at some really great inflection points, some amazing milestones being hit now with the GeneType multi-test and volumes really starting to lift. We have some incredible opportunities ahead of us and I'm really excited by what the future holds for us as an organization. So thank you for everyone for joining us, and we look forward to continually sharing our updates with everybody going forward.